Operator: Welcome to the MetLife's Third Quarter 2013 Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Before we get started, I would like to read the following statement on behalf of MetLife. Except with respect to historical information, statements made in this conference call constitute forward-looking statements within the meaning of the Federal Securities Laws, including statements relating to trends in the company's obligations and financial results and the business and the products of the company and its subsidiaries. MetLife's actual results may differ materially from the results anticipated in the forward-looking statements as a result of risks and uncertainties, including those described from time to time in MetLife's filings with the U.S. Securities and Exchange Commission, including in the Risk Factors section of those filings. MetLife specifically disclaims any obligation to update or revise any forward-looking statement whether as a result of new information, future developments or otherwise. With that, I would like to turn the call over to Ed Spehar, Head of Investor Relations.
Edward A. Spehar: Thank you, Marla, and good morning, everyone. Welcome to MetLife's Third Quarter 2013 Earnings Call. We will be discussing certain financial measures not based on generally accepted accounting principles, so called non-GAAP measures. Reconciliations of these non-GAAP measures and related definitions to the most directly comparable GAAP measures may be found on the Investor Relations portion of metlife.com, in our earnings press release and our quarterly financial supplements. A reconciliation of forward-looking financial information to the most directly comparable GAAP measure is not accessible because MetLife believes it's not possible to provide a reliable forecast of net investment and net derivative gains and losses, which can fluctuate from period to period and may have a significant impact on GAAP net income. Now joining me this morning on the call are Steve Kandarian, Chairman, President and Chief Executive Officer; and John Hele, Chief Financial Officer. After their prepared remarks, we will take your questions. Also here with us today to participate in the discussions are other members of management, including Bill Wheeler, President of Americas; Steve Goulart, Chief Investment Officer; Michel Khalaf, President of EMEA; and Chris Townsend, President of Asia. With that, I would like to turn the call over to Steve.
Steven A. Kandarian: Thank you, Ed, and good morning, everyone. We are pleased to report another good quarter. Third quarter 2013 operating earnings were $1.5 billion, up 6% over the third quarter of 2012, and operating earnings per share were $1.34, a 2% increase over the prior year period. Growth on a per-share basis was dampened by the conversion of equity units issued in 2010 to fund the acquisition of ALICO. Operating return on equity was 11.4% in the quarter. Operating earnings exceeded our plan but were down from the level reported in the second quarter. As anticipated, certain favorable developments highlighted in the second quarter did not repeat in the third quarter. For example, we said on the second quarter earnings call that variable investment income was expected to decline in the third quarter. Pretax variable investment income was $236 million in the third quarter versus $312 million in the second quarter, a reduction in operating earnings of $0.04 per share. Despite this decline, investment margins were favorable again this quarter. The average investment spread across all U.S. product lines was 221 basis points, which is in the middle of the approximately 200- to 250-basis-point range on the past few years. MetLife's investment spreads have been resilient despite a prolonged period of low interest rates. This performance has resulted from an effective asset liability management, good variable investment income and income from derivatives, many of which were purchased in the mid-2000s to protect earnings under a low-interest-rate scenario. Our strategy to right size the variable annuity business and grow emerging markets was evident in the third quarter results. Variable annuity sales were down 41% from the prior year period, while emerging market sales rose 21% in our Europe, Middle East and Africa segment and 4% in Latin America. Growth in Latin America was below trend as a result of a large case sale in the prior year period. Excluding this large case, sales growth would have been 11%. In addition to higher sales from existing businesses, our grow emerging market strategy will benefit from 3 recent developments. The first, our acquisition of AFP Provida in Chile, will have an immediate positive impact on earnings. The other 2, a start-up operation in Vietnam and a representative office in Myanmar, are consistent with our long-term strategy to expand MetLife's footprint in Southeast Asia. We closed on the acquisition of Provida, the largest pension provider in Chile, on October 1. Our accretion estimate is roughly $0.15 per share in 2014, consistent with the outlook we provided when the deal was announced in February. Accretion in 2013 will be less than anticipated because the deal closed 2 months later than we had assumed. As a result of this transaction, MetLife's earnings from emerging markets are expected to increase from 14% of total company earnings to 17%, putting us well on the way to our 2016 goal of 20%. In late September, we signed an agreement with the Bank for Investment & Development of Vietnam, or BIDV, to establish a life insurance joint venture in Vietnam. This joint venture with Vietnam's third-largest bank includes an exclusive bancassurance distribution agreement to sell MetLife products through BIDV's 120 branches and 500 transaction offices. In addition, on October 7, we received approval from the regulatory authority in Myanmar to establish a representative office in the country. While these developments in Southeast Asia are immaterial for earnings in the near term, we are excited about the long-term potential in these fast-growing Southeast Asian markets. Let me now turn to a discussion of risk and return. Without upward moves in equity markets and interest rates, we have been asked recently if better return prospects and variable annuities increase our appetite for this business. Given this question, it is timely to provide perspective on how we think about risk and return overall at MetLife. We know we must accept risk to earn an appropriate return for our shareholders, but determining the type of risk is a critical management decision. Relative to a few years ago, we have been actively diversifying MetLife's risk profile. Our strategy to grow emerging markets and shift the sales mix away from market-sensitive products to protection-oriented products should translate to a more balance risk profile. Less concentration of risk and reduction in so-called fat-tail risk should result in a lower cost of equity capital. A lower cost of equity capital, coupled with targeted ROE improvement, should be positive for our valuations over time. We want to limit our exposure to any one risk factor, even if current returns are attractive in the related line of business. For example, while we are pleased with new business returns in variable annuities, we have to be mindful of the size of our in-force business when we establish our risk budget for future sales. While balance sheet risk is a primary consideration for capital-intensive products such as variable annuities, we think that earnings volatility is a primary risk factor for protection products and that political risk is a primary consideration for emerging markets. For protection products, policyholder claims will sometimes exceed pricing expectations and cause an earnings shortfall. For example, this quarter, we had below planned underwriting results in Group, Voluntary & Worksite Benefits and a reserve increase on group disability contracts in Australia. While protection-oriented businesses may miss earnings from time to time, we believe that these businesses pose modest balance sheet risk relative to more market-sensitive, capital-intensive products. Furthermore, returns are very attractive in a number of our protection lines of business. For example, Group, Voluntary & Worksite Benefits is one of our highest-return segments, even with less favorable underwriting performance of this year. For emerging markets, political factors will sometimes generate earnings headwinds. Recent examples would be the potential loss of future earnings related to proposed changes in Poland's pension system, which we discussed on the second quarter earnings call and fiscal developments in Mexico, which John Hele will discuss later on this call. We're willing to accept political risk in emerging markets because we believe this risk is diversifiable and because the products sold in these markets generally have a more favorable risk return profile and growth outlook than products sold in developed markets. Importantly, a balanced approach to risk should produce better and more predictable free cash flow, which is a critical driver of shareholder value. Next, I'd like to provide a brief update on U.S. regulatory matters, which impact the level and timing of capital management. As we discussed last quarter, MetLife remains under Stage 3 review by the Financial Stability Oversight Council for a potential designation as a non-bank systemically important financial institution, or SIFI. While we do not believe that MetLife is systemically important, we continue to make the case to policymakers that applying bank-centric rules to the business of insurance will constrain our ability to issue guarantees and increase the cost of financial protection for consumers. In light of Prudential Financial's decision not to challenge its SIFI designation in federal district court, I suspect you may be wondering what MetLife intends to do. Although it is too early for us to make that decision, we were not ruling out any of the available remedies under Dodd-Frank to contest a SIFI designation. Finally, I would like to spend a few minutes discussing plans for our December investor call. We are taking a different approach this year and will no longer give earnings per share guidance. Instead, the call will provide information that should improve the market's understanding of MetLife's businesses, including our outlook over a multi-year period. I do not believe that we should continue with the practice solely because it is the way it has always been done. After careful study and deliberation, we have determined the EPS guidance no longer makes sense. Others in the financial services industry seem to share this view. Half of our North American peers and most of our global peers do not provide earnings guidance. In addition, the largest U.S. banks do not provide earnings guidance. Our new approach for the December call will be consistent with our internal emphasis on long-term strategic and financial goals and then should shift the discussion to our business model, which is the real driver of shareholder value over time. Also, it is difficult to predict earnings for life insurers with large capital-market-sensitive businesses. So guidance has historically had limited value. While we are rebalancing our business mix, we will still have meaningful exposure to the capital markets for the foreseeable future. We will continue to provide the investment community with our view of run rate earnings along with important earning sensitivities. In addition, we will increase transparency by expanding our discussion of key financial metrics and business drivers. In total, all of these inputs should create a more informed view of MetLife's future prospects. In closing, let me say that after several consecutive quarters of solid performance and results this year that are above plan, we feel very good about our fundamental business prospects. With that, I will turn the call over the John Hele to discuss our financial results in detail. John?
John C. R. Hele: Thank you, Steve, and good morning. Today, I'll cover our third quarter results, including a discussion of insurance margins, investment spreads, expenses and business highlights. I will then conclude with some comments on cash and capital. As Steve noted, MetLife reported operating earnings of $1.5 billion, up 6% year-over-year and operating earnings per share of $1.34, up 2% year-over-year. This quarter included 3 notable items. The first relates to our group insurance business in Australia. As Steve referenced, we have strengthened group total and permanent disability, otherwise known as TPD, claim reserves in Australia, which reduced operating earnings by $57 million net of reinsurance or $0.05 per share. Our decision to increase the TPD reserve by 45% this quarter was based on the review of our own recent claims experience and consideration of the worsening trend for the industry. We believe there are several factors driving this trend, including economic stress, increased claim size and greater awareness of benefits. The second notable item resulted from our annual actuarial assumption review, which we accelerated from the fourth quarter to the third quarter to be in line with our annual goodwill testing. While there was no charge related to goodwill, there was a modest above- and below-the-line impact from the assumption review. The portion related to operating earnings was a favorable $28 million or $0.03 per share. However, the total impact, including the favorable impact to operating earnings, was a $69 million reduction of net income. Although we had various assumption changes in the quarter, the only meaningful update was in retail annuities. Assumption changes in retail annuities resulted in a $41 million increase in operating earnings and a $48 million reduction of net income. The positive impact above the line primarily relates to an increase in some of our persistency projections and lower expenses. Higher persistency is a positive for operating earnings because of higher expected base contract fees but can be a negative for net income because of potential claim from living benefit guarantees. We have made no further changes to our GMIB dynamic lapse function, and emerging experience is still consistent with the change that we made last year. The third notable item was in our P&C business. We had lower-than-budgeted catastrophe losses of $14 million after tax and a favorable prior year reserve development of $7 million after tax. Therefore, the total benefit to operating earnings was $21 million or $0.02 per share. Turning to our bottom line results. Third quarter net income was $942 million or $0.84 per share and included net derivative losses of $355 million after tax. The net derivative loss in the quarter was driven primarily by 3 items that we consider to be either noneconomic or a cause of asymmetrical accounting treatment: number one, an increase in interest rates; number two, changes in foreign currencies, principally the weakening of the U.S. dollar versus the British pound and euro; and number three, the MetLife own credit impact associated with our VA program. Changes in interest rates in the quarter contributed about 60% of the net derivative loss, while foreign currency and MetLife's own credit impact combined for most of the remaining balance. Book value per share, excluding AOCI, was $47.99 at September 30, up 2% from $47.20 at June 30. Turning to margins. Underwriting was mixed but generally unfavorable again this quarter. The mortality ratio in group life was 90.3% in the quarter, unfavorable to the prior year quarter of 88.1% and at the top end of the target range of 85% to 90%. The less favorable mortality was driven by large claims in Group Universal Life and Variable Universal Life. The mortality ratio in retail life was 73.1%, better than our expectation and the 91.3% ratio in the third quarter of 2012. This result was due to favorable direct claims experience in both variable and universal life and traditional life. However, the benefit accrued more to reinsurers than MetLife in the quarter because of the nature of the claims. We expect both the direct mortality ratio and the percentage of claims reinsured to return closer to plan levels in the fourth quarter. As a reminder, useful rules of thumb are a 1% point change in the mortality ratio equals to a quarterly operating earnings impact of $8 million to $10 million for group life and $2 million to $3 million for retail life. Retail life underwriting margins in the quarter were not as favorable as the direct mortality ratio would suggest, partially because of the reinsurance impact and adverse experience in individual disability. The non-medical health benefit ratio was 90.5%, up 2 percentage points from the prior year quarter of 88.5% and just above the top end of the targeted range of 86% to 90%. The primary driver for the increase in the ratio was weaker underwriting results in group disability due to higher severity. Incident rates were generally in line with the prior year quarter and plan. As a reminder, a 1-percentage-point change in the non-medical health benefit ratio equates to an operating earnings impact of approximately $10 million on a quarterly basis. In our P&C business, the combined ratio, including catastrophes, was 92.6% for retail and 90.2% for group. Year-over-year results were better in retail and somewhat weaker in group. Overall, as mentioned earlier, catastrophes were lower than budget in the quarter by $14 million or $0.01 per share. The combined ratios, excluding catastrophes, were 86.3% in retail and 87.5% in group. Next, let me turn to investment spreads. As Steve noted, investment spreads have remained strong and within the range of the past few years. However, we did experience a sequential decline in 3 of the 4 product spreads reported in our quarterly financial supplement, with the simple average declining 23 basis points including variable investment income and 8 basis points excluding variable investment income. In the third quarter, pretax variable investment income was $236 million or $153 million after DAC and taxes, slightly below the midpoint of our 2013 quarterly guidance range. Variable investment income was down from the second quarter, which was at the top end of our guidance range, primarily due to weakness in hedge fund performance and a return to more normal private equity returns, partially offset by higher bond prepays. With regard to expenses, the operating expense ratio was 24.3% in the quarter versus 24.4% in the year-ago period. Excluding the impact of pension and post-retirement benefits and closeouts, the operating expense ratio was 23.6% versus 23.8% in the year-ago period. We are pleased with this performance, as it reflects progress in our strategic goal to reduce gross expenses by $1 billion and net expenses by $600 million. Through 9 months of 2013, gross expense saves were $394 million, while net saves were $269 million after adjusting for reinvestment of $28 million and onetime cost of $97 million. I will now discuss some of the business highlights in the quarter and focus on areas where our results seem to differ from analyst expectations. Retail operating earnings were $659 million, up 34% versus the prior year quarter, driven by strong performance in both life and other and annuities. Life and other reported operating earnings of $237 million, up 16% year-over-year. The primary drivers were lower DAC amortization and lower policyholder dividends. These are partially offset by less favorable catastrophe loss experience from an exceptionally good prior year quarter and lower variable investment income. Annuities reported operating earnings of $422 million, up 47% versus the prior year quarter. The drivers included higher fees from separate account growth, resulting from strong investment performance, lower ongoing DAC amortization and favorable assumption unlockings. The initial market impact was favorable to operating earnings by $27 million after tax, which was $3 million less in the prior year quarter. As a forward-looking rule of thumb, a 1-percentage-point change in the S&P 500 equates to approximately $5 million to $7 million of operating earnings annually. Variable annuity sales were $2.7 billion in the quarter, down 41% year-over-year and 3% sequentially. We expect full year VA sales to be at the top end of our $10 billion to $11 billion target. As of September 30, the net amount of risk for all of GMIB riders was down to $931 million, which compares to $2.5 billion at March 31 as presented at our May investor day. The net amount of risk for all GMIB Max contracts is only $2 million. In addition, only 7.3% of total GMIB contracts were in the money as of September 30, which compares to 17.9% at March 31, which is also presented at investor day. Group, Voluntary & Worksite Benefits reported operating earnings of $226 million, down 20% year-over-year. The primary drivers were weaker underwriting results in group life and disability, higher expenses due to reinvestment in the business and less favorable catastrophe experience versus a favorable result a year ago. Latin America reported operating earnings of $133 million, down 13% year-over-year and 8% on a constant currency basis. These results reflected the impact of favorable onetime adjustments, particularly in the prior year, higher expenses due to sales initiatives in the region and weaker underwriting results partially offset by net favorable market impacts. Premium fees and other revenues were up 14% year-over-year and 17% on a constant currency basis, driven by strong growth across the region. Sales growth was only 4%, but excluding 1 large group case in the prior year quarter, growth would have been 11%. I want to comment on 2 topics that are important to consider for future earnings for Latin America: Provida and fiscal policy changes in Mexico. As Steve noted, we closed on the acquisition of Provida. With the completion of the tender offer on October 1, we currently own 91.4% of Provida at a cost of approximately USD 1.85 billion. Provida is performing well and in line with our expectations. Our ownership percentage is less than we had modeled, but this is fully offset by a lower opportunity cost of funds. In Mexico, we are assessing the potential impact from fiscal policy changes currently being implemented. We believe the annual impact could dampen operating earnings by approximately $25 million. Turning to Asia. Operating earnings were $257 million, down 1% year-over-year but up 7% on a constant currency basis. Operating earnings were dampened by the previously discussed reserve strengthening in Australia and an unfavorable impact from the assumption review, partially offset by a tax benefit in Japan. Adjusting for these items, operating earnings were 17% driven by business growth and lower expenses. While we were pleased with the underlying performance in the quarter, we do not believe that 17% is a sustainable growth rate. As anticipated, surrender activity of non-yen fixed annuities in Japan returned to a more normal level in the third quarter. We believe a more normal level of quarterly earnings for Asia is approximately $280 million to $300 million. Finally, in EMEA, operating earnings were $85 million, up 37% year-over-year and 28% on a constant currency basis, driven primarily by business growth across the region, especially in Russia, Poland and Turkey, lower expenses and certain onetime items. This was a strong quarter for EMEA. A more normal level of quarterly earnings is in the low to mid-$17 million range. Premium fees and other revenues were 8% -- were up 8% year-over-year and 6% on a constant currency basis, driven by strong growth in Russia and the impact of the Aviva acquisition in the third quarter of 2012. Overall sales growth for EMEA was 10%, driven by emerging market growth of 21%, most notably in the Gulf, Turkey and Russia. Now I will discuss our cash and capital position. Cash and liquid assets at the holding companies were approximately $4.8 billion at the end of the third quarter. As you know, we report U.S. RBC ratios annually, so we do not have an update for the third quarter. In Japan, our solvency margin ratio was 913% as of the second quarter of 2013. For our domestic insurance companies in the third quarter, preliminary statutory results are operating earnings of $720 million and net income of $475 million. Statutory operating earnings were down $382 million from the prior year, primarily due to higher taxes of $365 million in the current quarter as a result of various tax adjustments. For the first 9 months of 2013, statutory operating earnings were $2.1 billion and statutory net income was $1.2 billion. Total adjusted capital for our domestic insurance companies is expected to be approximately $27.6 billion as of September 30, down 5% from December 31, primarily due to dividends paid of $1.3 billion, unrealized losses essentially offset net income. And with that, I will turn it back to the operator for your questions.
Operator: [Operator Instructions] And our first question comes from the line of Ryan Krueger with Dowling & Partners.
Ryan Krueger - Dowling & Partners Securities, LLC: I had a question about Health Care Reform. Wondering how meaningful of an opportunity you think that could be for MetLife over the next several years and also, what your strategy is to participate in private exchanges.
William J. Wheeler: Ryan, it's Bill Wheeler. So there's a lot of aspects to Health Care Reform, so I'd break it down in a couple of ways. One is we are -- our dental product is on a number of the state exchanges that are up now or selling now. Obviously, our sales there are pretty nominal. But -- and we have also put our products, not just dental but a broad array of products, on a number of private exchanges. I think we are up to 10 private exchanges. And our expectation has been for a number of years is that employers are going to start and employees are going to start using these exchanges to buy benefits and to give employees more choice in the type of voluntary worksite benefits they provide. And so a big strategy for us, which we've laid our previously, is to expand our product set and our enrollment capabilities in the voluntary worksite aspect of the business. And so we think that is a big opportunity for us and a big source of growth in our group area. Now I guess, I will also just say that the last thing that I think is happening right now is, of course, the Affordable Care Act is having a lot of difficulty, and I think one interesting aspect is I believe that you're going to see a lot of employees really start to value their employee benefits and the benefits they get from their employer and I think be -- and value them more highly. And I think in the long run, that's going to be a really good thing for our group business.
Ryan Krueger - Dowling & Partners Securities, LLC: And just a follow-up, in addition to your typical suite of group and voluntary benefits, will you be looking to be a bigger player in supplemental health as well?
William J. Wheeler: Well, yes. So labels are -- let's be careful. So we definitely will be a bigger player in critical illness and accident and health products. But I would -- the true med supp kind of products, I don't think we're going to be entering.
Operator: Next we'll go to the line of Chris Giovanni with Goldman Sachs.
Christopher Giovanni - Goldman Sachs Group Inc., Research Division: I wanted to first touch just on VA. Obviously, you and the industry have done a lot in terms of managing down sales, done everything from increasing fees, lowering guarantees, et cetera, and yet, these things still kind of seem to stick and sell. And you just saw a competitor look at doing a reinsurance transaction or announce a reinsurance transaction to keep capacity in the market. I'm wondering if this is something you would consider potentially as you continue to work on customer centricity.
William J. Wheeler: Chris, it's Bill again. Sure, I mean, I think we'll look at this transaction. I mean, this is -- and we obviously read that announcement with interest. And the devil's in the details and we will try to understand the details of that trade. Look, we always look at ways to manage our capacity and capital. But I think Steve made it pretty clear earlier in the call. We've -- we're going to rebalance the risk profile of MetLife, and that means we are going to stay in the variable annuity business, but we're going to run it a certain way. And I think that's -- and I think that way is working.
Christopher Giovanni - Goldman Sachs Group Inc., Research Division: Okay. And then one for Steve and maybe Chris. If you can comment just on the operations in Japan. I guess, there's been some increased press and chatter around maybe some elevated turnover of management, certainly changes in commission structures that you guys have talked about in the past. So I just wanted to kind of get your assessment of the strategy for the reason -- in the region and what you guys are doing to kind of continue to accelerate growth while maintain good returns.
Christopher G. Townsend: Sure. Let me take that. It's Chris Townsend here. So first of all, in terms of the management changes, yes, we have changed some of the management there. The -- Sachin Shah is our CEO of that business. He's been the COO of that business for approximately 3 years, and has a very deep life insurance background and has good tenure in Japan as well. The bench in Japan is very deep, and we supplemented that in terms of some of the new areas we're looking to build capability in with some strong external hires. So we're very comfortable with the management team we have in Japan. If you look at the business overall in Japan, we've said to you for a number of quarters that our bank sales are soft given the fact that the Nikkei and TOPIX have performed so well, and all that volatility in the yen, what that's led to is rather depressed sales in the fixed annuity foreign currency products. That's actually bounced back this third quarter now. Bank sales were up about 54% sequentially, but they're still down 20% year-on-year. And what that's meant, overall, is that Japan is down on sales about 4%. What I would say is that A&H sales in Japan are up, and across the region, we're up about 9% on A&H. So again, we feel pretty good in terms of the mix of the business we've got. The A&H portfolio overall is competitive. You'll hear that from a number of others, who are approaching this market, but we feel that the deep experience we've got plus that multi-channel platform, which is rather unique for us in the Japanese market, gives us a great ability to grow that business very well in terms of the bundling ratio we have across the other life products.
Christopher Giovanni - Goldman Sachs Group Inc., Research Division: Okay. And just new business returns, any sense of kind of what you're pricing for or seeing?
Christopher G. Townsend: Yes, we're pricing for a 15% EC ROI we -- as we've told you a number of times before, and that's across the portfolio. So clearly, there's going to be some products, which perform better than others in different cycles, and we're continuing to tweak that portfolio in line with some of the volatile macroeconomic conditions. So as interest rate changes, reserve rate changes, we'll tweak our portfolio. But overall, our portfolio is exceeding the 15% EC ROI.
Operator: And next we'll go to the line of Tom Gallagher with Crédit Suisse.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: First question for Steve, just the decision to discontinue the explicit earnings guidance. Can you give a little more color behind that decision in terms of why discontinue it? And relatedly, are there any meaningful changes to the growth rates that you had previously discussed, either domestically or internationally, as we think about '14, '15. Because that's obviously a logical question as part of what's behind us, the fact that the news may not be as good.
Steven A. Kandarian: We really looked at all the literature that was written -- that has been written on this issue of giving earnings guidance. There's some literature that says you should give it. There's a lot of literature that says you shouldn't give it, and they give kind of the pros and cons and so on. But the bottom line really from our perspective was if earnings guidance really provides information that's useful in investors and analysts better understanding our business and earnings for the coming year, then we should give it. And our view was because of the capital market sensitivity of our overall business and the impact of things like the equity market returns, this wasn't all that useful to people to get our earnings guidance on a specific point or number for EPS in the coming year. We thought that if we gave you further information, more information on other parts of our business and sensitivities, that people could build their own models based upon their view of, let's say, what the S&P 500 will do next year or what interest rates will be or other factors that could influence the short-term earnings of MetLife. There is some literature that says that those who drop earnings guidance do so in some cases because their prospects aren't as bright as they had been or they're going through some transition in their business model. That is not the case for us. This really was a fresh look at should we give guidance or not give guidance as if we were just starting off as an IPO. Would you -- should you really do this in our business or not? We looked at our peers, like we said in the script earlier, that it's pretty split in the United States in terms of providing guidance in our industry. In Europe, most don't give guidance in our industry. And then other financial institutions, especially the larger banks that have the same kind of sensitivity to capital markets, virtually none of them give guidance. They give a lot of components that allowed people to come up with their own numbers. We just thought that was a better way to do it, and we thought if we were starting off today fresh, that's what we would do.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Understood. Yes, appreciate that response. The next question I had is for John or Bill. The higher severity of claims in group life and disability, is there a chance that this might continue, that this might be a sign of some pricing actions you need to take? Any clarity there?
William J. Wheeler: Tom, it's Bill. Well, when we have a chance to reprice cases, we obviously look at the individual experience, and I'm there'll be some cases we'll reprice and raise prices. That's just the nature of the beast when the -- in the pricing cycle. But because the underwriting results were really about incidents, not -- or really about severity and not incidents, that kind of tells you it's more than likely more random and -- than expectations. And we do see this occasionally. I guess, we feel that -- and it was severity, higher severity in both group life and disability. So I think we feel that it's a sort of normal underwriting volatility if you will and doesn't cause us to think that we're going to have to significantly change our pricing expectations.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Got it. And then just one last one. The Mexico, the comment on fiscal policy changes having a $25 million negative impact, is that going to impact your goodwill related to that some prior acquisitions at all?
John C. R. Hele: Yes. Tom, this is John. No, we don't believe this would impact our goodwill.
Operator: Next we'll go to the line of John Nadel with Sterne Agee.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: I just have a question for you on the regulatory front. So recently the Fed, among some others, issued a proposal that looks like it's going to further increase the liquidity requirements for some of this -- or for the systemic banks. But that proposal, at least by our read, seems to specifically exclude the -- this requirement for SIFI insurance companies. And I guess, my question is twofold. Is that consistent with your read as well that it would exclude insurers? And second, do you think it's going too far if we read into that exclusion of insurers and increasing recognition by the regulators of some of the key differences between traditional banks and insurance companies at least in terms of balance sheet and liquidity profiles? I guess, I'm asking, Steve, you mentioned continuing to sort of work to educate regulators, so do you feel like you're making any real progress in that front?
Steven A. Kandarian: We've read that rule as well, and that is our interpretation that designated non-bank SIFIs in the insurance space would not be subject to that rule. That's our interpretation of what we read. It's consistent with what you said. And in terms of what we should we interpret from that, I think it's a positive. I don't want to read too much into it, but clearly, regulators are looking at the differences in the business model of banking versus the business model of insurance. There are significant differences. Banks rely upon much more on short-term funding. They have more asset liability mismatches as part of their business model, and we rely upon largely longer-term funding sources. Overall, we match our assets and our liabilities and just kind of run on the bank issues that can exist in a crisis situation don't really apply to the insurance industries. I think there's becoming greater recognition of the differences in the business model between our 2 industries in Washington. And we worked hard as others have as well in the industry to try to provide insights and help in Washington in terms of understanding our business model, and we have to all acknowledge that insurance has been regulated now for decades at the state level, not the federal level. So they're starting from a point in terms of overseeing our industry that's fairly new for them. So it's understandable that there is kind of a education process going on. I think this is a positive sign, but again, I don't want to read too much into it.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Yes, I understand. And then I just have one question on pension closeouts. Given, obviously, some great equity market strengths and good investment performance and at least here recently, some slightly higher longer-term rates, it looks like funding status sort of across of the Fortune 500 defined benefit pension plans has really gotten much, much better. I'm just wondering, maybe for Bill, if that's helping to improve the dialogue and the opportunity set and what your outlook is there.
William J. Wheeler: Well, yes, with regard to pension closeouts, I don't think there's any doubt that the environment is getting better. And so -- and we see that in our, what I would call, our normal business, new business pipeline. It's growing. It's -- in terms of the amount of the transactions that are out there to do. But they're not jumbo deals. I mean, the jumbo deals are -- I mean, obviously, by their very nature, they're kind of one-off, and we don't have visibility on big jumbo deals right now. But I would say the more traditional smaller cases, the pipeline is large. And so we -- our expectation is, is that there's going to be more volume there.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Okay. So -- and that's what I was sort of most curious about, as these funding gaps sort of get closer and closer to 0, or at least lower, with company CFOs and Treasurers essentially decide, "Hey, look, this is getting much better. We don't need to pursue this." Or would they go the other way, and it sounds like you're saying it goes the other way.
William J. Wheeler: I think so. We're seeing a number of transactions. Sizes are getting a lot little bigger. There's clearly a lot of activity.
Operator: And next we'll go to the line of Mark Finkelstein with Evercore.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: Wanted to ask a question about the annual assumption review. John, I think you talked about, particularly on the VA business, a good guide above the line and a $90 million kind of hit below the line. I was wondering if you could just expand on really what drove maybe the $90 million. And I assume it was the lapse rate assumption. And does it in any meaningful way change kind of the all-in economics of the in-force VA block in your view?
John C. R. Hele: This assumption review, we included some GMWBs that we have and some LWG,, and we are now more experienced on those and looked at the lapses and installed a lapse function closer to what we did a year ago for the GMIBs. We didn't have enough experience on this block until this year on that block, and so it drove the same sort of structure where you saw more persistency expected over time, which drives higher core fees in the business. So you amortize over longer period of time, but then you have higher cost of the benefit below the line, which is where the fees, the rider fees for these benefits feed below the line into net income to match against the derivative hedging that we do against it. So we try to match the revenues in net income with the costs there, and that's why there's a higher net present value of future costs for those withdrawal benefit costs.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: I guess, any change in how kind of how you view the economics of the business?
John C. R. Hele: No, I mean, this changes it a little bit, but in terms of the overall book, we view the new business as well priced. the older book needs capital and has a lower ROE than the new business. I would like to point out that in this whole assumption review across the U.S., there wasn't any change to our thinking of long-term interest rates, and we did adjust our maintenance expenses in the retail annuity business. We're a little lower. We've got a larger book, and that helped a little bit. The other major assumption that we haven't looked at yet that we spoke about at investor day is what we do with annuitization rates and we still -- although those are favorable, we haven't made any assumption changes on those yet. We're leaving that. We need some more time before we would think about changing those.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: Okay. That's helpful. Just a quick question on the Australian business. I guess, when you talked about Mexico, you talked about a $25 million potential kind of hit to earnings going forward. You took a charge in Australia similar to what others have seen. I'm just curious what the delta on earnings of the Australian block kind of from what you've experienced to what you'd expect going forward will be.
John C. R. Hele: We don't expect a dramatic change to the ongoing profits in Australia. That makes $20 million, $30 million a year. And we did a reserve charge on this business. This business has been around for a while. It's a rider to people's pension savings programs, and there's been an industry change in the incidents in this business. We only had a few cases, a handful of cases where we've had to adjust. And 2, in particular, drove most of the reserve change. We've done an extensive work on this. It's been reflected across the industry, and we set the reserves appropriately.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: So the $20 million to $30 million of contribution should still hold going forward essentially?
John C. R. Hele: Yes.
Operator: And next we'll go to the line of Seth Weiss with Bank of America Merrill Lynch.
Seth Weiss - BofA Merrill Lynch, Research Division: I just had a question on spreads and thinking about kind of the modest declines on a adjusted basis. Corporate Benefit Funding, that's been a segment that's been a positive offset there. Could you just remind us sort of the liability and asset structure of Corporate Benefit Funding in terms of why spreads there have positively increased over the last 4 or 5 quarters?
William J. Wheeler: Sure. So Corporate Benefit Funding, the liabilities are very long, and they're often fixed in terms of the interest rate assumptions that are embedded in the liability. So it's a very fixed-rate liability, and it's long. So the way the target investment portfolio there would have more variable investment income in it, more private equity investments, real estate, et cetera, so if those investments perform, which they have, obviously, and we've had outsized performance in that particular part of the portfolio, it will do well. The other thing, too, is the only place where -- so we have the ability to invest very long and obviously, match quite well, and I think that's why that portfolio holds up much better than others, which I think are shorter-term liabilities.
John C. R. Hele: I'm going to add to that because we have quite a deal of assets in here, we often use this for securities lending programs. And so far this year, we've had a pretty steep yield curve on the short end, and that's benefited the additional benefit we get from securities lending in this portfolio. So that's a function of just the very steep yield curve on the short -- on the very short end.
Seth Weiss - BofA Merrill Lynch, Research Division: And just in terms of thinking about the volatility on the adjusted spread, is that mostly from bond prepays, this is looking across the 4 different units? Or are there other elements that could cause the adjusted spread that you now provide us to bounce around?
Steven Jeffrey Goulart: It's Steve Goulart. Just on -- if you look at the quarter, John went through some of the details on VII, but -- so we did see hedge funds and private equity kind of returning to normal or even lower than planned. But bond prepayments have been strong for the year and particularly for the quarter. And again, because of the process, the time it takes to complete a prepayment, we actually have pretty good insight into what the fourth quarter will look like as well. And so I think we're anticipating prepayments to be a good contributor to our of VII for the fourth quarter and why we'll probably be near the top of the expected range then as well.
Operator: And next we'll go to the line of Suneet Kamath with UBS.
Suneet L. Kamath - UBS Investment Bank, Research Division: First question for John on holding company cash. I think you said $4.8 billion down from $6.5 billion in the second quarter. I'm guessing most of that is the Provida payment. Just wondering, as you look across the fourth quarter, should we expect any big pluses and minuses with respect to the holding company cash.
John C. R. Hele: We expect to be at the high end of our range we gave you on investor day. So you're pretty close there.
Suneet L. Kamath - UBS Investment Bank, Research Division: Okay. And is there anything in particular that's sending you to the high end of the range or just better earnings?
John C. R. Hele: No, there's -- no big -- there's some plusses and minuses always we have in cash in the company of this size, so it just -- it trends along. With dividends paying out, we have cash coming in. So it should end up to be at the high end of our range we had.
Suneet L. Kamath - UBS Investment Bank, Research Division: Okay. And then, I guess, more of a philosophical question for Steve on the divided. Obviously, earlier this year, you increased your dividend, I think, to a payout ratio of around 20%. As we think about what -- how you're thinking about dividend growth going forward, should we anticipate that, that dividend will probably grow in line with earnings, meaning you'll kind of be at a stable payout ratio? Or do you anticipate that, that payout ratio might start to climb in the future?
Steven A. Kandarian: Suneet, Our goal is to increase dividends at a fairly steady pace over time along with our earnings. But as we've mentioned before, because of the uncertainty around regulation, we have to take into account whatever it is we learn from potential new capital rules that might apply to MetLife, in fact, into our consideration, in our judgment in terms of how to handle dividends going forward.
Suneet L. Kamath - UBS Investment Bank, Research Division: Okay. And then just the last question, I wanted to follow up on, I think, one of Tom Gallagher's questions that I'm not sure you answered about the -- anything changing in terms of the guidance. I guess, if I think back to November of 2011 when we did the interest rate discussion, you talked about sort of an 8% earnings growth rate in a normal environment, maybe 4% excluding -- in a low-interest-rate environment. I know we're going to get a lot more detail in December in terms of sensitivities, but at a high level, would you argue that, that guidance would still be appropriate, particularly given some of the changes you've made in the U.S. business around shrinking the variable annuity business and making some adjustments on the UL with the no lapse guarantee?
Steven A. Kandarian: Well, we're on track in terms of our strategy that we've outlined a number of times to you. In terms of specifics around guidance, we'll provide that shortly in the December call.
Operator: And next we'll go to the line of Jimmy Bhullar with JPMorgan.
Jamminder S. Bhullar - JP Morgan Chase & Co, Research Division: I had a couple of questions. First, on the assumptions amendment embedded in your Australia charge, you took a pretty large charge. But what gives you the comfort that you're adequately deserved there? And the reason I'm asking is other companies have taken similar charges as well, some before you guys, and in many cases, they've taken repeated charges. So -- and then secondly, you mentioned the $20 million -- $25 million impact from the fiscal changes in Mexico. Can you just discuss this in a little bit more detail and the potential steps that you could take, if there are any, to mitigate the impact?
John C. R. Hele: Jimmy, this is John. So this has been an industry trend, and of course, some reinsurers who can see across the whole industry reacted last quarter. As I said, we only had a handful of cases, although they were larger cases where we've been looking at this trend. So we've studied it very carefully. We've benefited from speaking to the reinsurers and thinking about this across the board. We've done extensive studies on this, and we believe we're adequate -- adequately reserved. However, if things change again in the future, you can always -- you may have to relook at it again if trends change from where they are. But we believe we've captured the current trends underway in Australia, in this area.
William J. Wheeler: Jimmy, it's Bill. With regard to Mexico, what's going on there is they -- the Mexican Congress has been going through a series of fiscal reforms or approving a series of fiscal reforms announced by the Mexican President, Peña Nieto. And I guess, I would say that we believe some of those changes with regard to taxes, we can mitigate. And some, we probably will not be able to. And the -- and so there are -- sort of our best guess, but we're not done with our work yet. Is it -- the impact might be $25 million after tax next year. And it's -- there's taxes on corporate income. There's taxes on dividends. There's other government programs with which we participate in that might be changed. So there's sort a package of things going on. And my guess is, is we'll give you a little more color on that in December.
Jamminder S. Bhullar - JP Morgan Chase & Co, Research Division: And then maybe if I could ask just one more on guidance, and I think there's always skepticism when a company withdraws guidance on whether it signals that things are getting worse, at least, in the short term. And you gave reasons, which are all valid, but -- especially that it's difficult predicting where the markets are quarter-to-quarter and having to adjust. So people could always use their own market assumptions anyway. So that was the case even when you were giving guidance before. And even though most of the banks don't give guidance, most insurance companies do. So I was wondering if there's anything more behind that. Maybe like, obviously, if a company does give guidance and sort of forces management to focus on the short term a little bit just to be able to hold the results up to that. So maybe discuss a little bit more why this is not a signal that things are getting worse, and there were something else besides the items that you mentioned that went into your decision?
Steven A. Kandarian: I think you hit one of the items that is worth highlighting, Jimmy, which is sometimes, giving a point estimate, even a range for next year's earnings, can make management teams and companies focus too much on short-term results. So our goal here is to increase shareholder value over time, and when I say, over time, I don't mean over a decade. I mean, over the next few years. And we had to just make sure that, that's our focus as a company. We're going to give a lot of inputs for all of you in December on our investor day call to construct your own models in terms of your assumptions around interest rates, equity values for next year and so on, to create your own number that you come up with. But as we look back and we look at our own earnings guidance numbers over the last decade and sort of how close were we to what the actual results turned out to be, what did The Street come up with on their own after we adjusted of guidance. And we weren't that great in terms of predicting, frankly. So our view as we're spending way too much time on factors that really are not within our control, like equity values in the coming year and so on. And rather than have that be such a big piece of the conversation, let's kind of shift it to our business model, our strategy, the things that really matter, the sensitivity analysis that we go through. So I think you'll see in December, we're going to give you more information you've gotten before from us, but you're just not going to get a point estimate for next year's earnings.
Edward A. Spehar: Okay. Well, we ware past the 9:00 hour. Thank you, for your participation. Have a good day.
Operator: Ladies and gentlemen, this conference will be available for replay after 10:00 a.m. Eastern Time today through November 7, 2013. You may access the AT&T replay system at any time by dialing 1 (800) 475-6701 and entering the access code 277737. International participants please dial (320) 365-3844. That does conclude our conference for today. Thank you for your participation and for using AT&T TeleConference service. You may now disconnect.